David Bandele: Okay, welcome, everybody, to Hexagon Composites' Q1 2019 Market Earnings Broadcast. My pleasure, as usual, to go through the group highlights. And we'll touch on updates on Agility Fuel Solutions, our newly acquired division in Hexagon. And I will also cover the summary group financials. Jon Erik will join me for the outlook and direct us through the Q&A. Also just make a note that our presentation will be available on the website. In the appendix that we won't cover today, you will find also other material, including segment financials. So without further ado, quarter 1 2019. Very pleased to see very strong growth in Agility Fuel Solutions and good profitability. In fact, we had 51% increase in top line versus the same quarter last year, with growth across all heavy- and medium-duty market segments; also delivering double-digit EBITDA margin. And on top of that, we successfully completed the long-term financing of the acquisition. Always good to get off to a good start with a new acquisition. Also, on Hydrogen, very strong market activity there. And we were awarded by Audi our fourth light-duty vehicle development and serial production contract. This is for a fuel cell electric vehicle; and although it's a smaller contract than some of the others we have, nonetheless very important and another very good sign in terms of the fuel cell electric vehicle market going forward. We had breakthrough trials by New Flyer, which is our large North American customer, on the hydrogen prototype bus. It passed with flying colors its KPIs in trials, for example, mileage achieved; and that again is another good data point and milestone going forward. We did have lower revenues than we expected mainly due to revenue recognition on the multitude of development contracts that we are going through. Also pleased to see the recovery in the light-duty CNG or compressed natural gas demand; Volkswagen, really our large customer in Europe, pushing demand. You will recall that we had issues from WLTP, that's the global emissions testing program, at the back end of last year. All models have been tested by Volkswagen and are now available to order, and we see recovery in our top line following that. In LPG, we have lower profitability due to mix factors. Actually, volumes are not substantially lower, so these are purely mix. And also in Mobile Pipeline we had pretty solid volumes, not as large as we did the same quarter last year, which was a very strong quarter, but nonetheless pleasing. We also did have some deliveries that slipped into the next quarter, second quarter, that were due in the first quarter. Let's touch on Agility. Our long-term financing is completed. Within the quarter, towards the end of February, we raised an additional 10% of share capital. That brought in NOK493 million of gross receipts into the company, effectively delevering the company. And also it made our subsequent bond issue more attractive. You'll recall that, when we announced the acquisition in November last year, the bond markets or debt capital markets were rather volatile, so we were pleased to keep an eye on the markets throughout the quarter 1 and managed to time that pretty well. And we resulted in raising a NOK 1.1 billion senior unsecured bond priced at 375 basis points above NIBOR. And that effectively then replaced the temporary bridge loan we used to actually do the purchase in January. So together with the bank loan facilities we have, which comprise a NOK 600 million multi-currency revolving facility plus the NOK 400 million ancillary facility on top, we feel we have a solid yet flexible debt structure and most importantly at comfortable leverage levels. So to the financials. This is the first quarter we've been able to consolidate fully and present Agility's figures in the group figures, and you can see the effects fairly clearly. On revenues, we posted NOK 821.8 million versus and NOK 416.3 million same period last year. So obviously the introduction of Agility almost doubling our revenues, as we mentioned, Agility itself contributing NOK 444 million itself, actually larger than the whole of Hexagon last year's quarter. In EBITDA, we recorded NOK 150.3 million. That's versus NOK 66.5 million the same quarter last year. And the main contributor is obviously Agility's performance, and contribution is NOK 54 million this quarter. We did have some transaction impacts that have hit the quarter in total that have hit EBITDA for plus NOK 62 million, mainly from a gain in that transaction. Hydrogen. This is our business unit that is a game changer for the future. It requires a lot of investment short term, so it is dilutive but in the long term is accretive. That dilution was NOK 22 million in quarter 1 2019. For LPG, we mentioned about the adverse mix factors. That was actually a negative NOK 18 million year-over-year impact in LPG. When we go over to net profits to the right. We posted NOK 68.4 million in net profit. And that's versus NOK 23.1 million the same quarter last year, so significant increase there. And that is after the effects of adding then the depreciation and amortization that comes with the Agility acquisition, a combined effect of an extra NOK 35 million in costs year-over-year. Our financial items will be typically higher this year than last year. Obviously, we are raising quite a lot of debt on that acquisition. And net of favorable currency, we had a extra charge of NOK 14 million in the financial items. For tax, surprisingly enough, we have a favorable tax position year-over-year. That's as we reassess our tax position under the new business combination with Agility. It's important to present this picture. This is where we actually look at Hexagon as a group; and strip out the impacts of Hydrogen, which is under a different profile. And when we take out the impacts of Hydrogen, you see in the middle, to the right-hand side, we would have posted then a normalized just over NOK 800 million in revenue and just over NOK 100 million in EBITDA. So the rest of the Hexagon Group's business was making a healthy margin of 13%. When we look at our segment revenues. On the left-hand side is quarter one 2018. We include pro forma Agility numbers there. And on the right-hand side, quarter this year. Firstly, year-over-year, we have a, on a pro forma basis, 16% top line growth, very healthy; and dominated, as you can see, by the great performance by Agility year-over-year. On Purus, which Hexagon Purus, which is hydrogen and CNG Light-Duty Vehicles, small increases there mainly to do with the recovery in the CNG. And on the Mobile Pipeline you can see lower quarter than last year but, like I say, solid nonetheless. On LPG, as I mentioned, although volumes are not substantially lower, the earnings, the revenue from them is lower, so that reflects the mix impacts. And we will talk a little bit more about those later. Let's have look at Agility Fuel Solutions' quarter and the last 5 quarters performance. First of all, to the far right-hand side, quarter 1 '19, NOK 444 million in revenues and NOK 53.5 million in EBITDA, for a 12% reported EBITDA margin. Strong revenues, as I said, and margin overall; the North American transit, refuse, heavy-duty truck market all very strong. One to watch is the accelerating European Transit Bus market. So that was a very, very strong growth in the quarter, and Jon Erik will cover more of the outlook we see in that area later. Good and strong cash generation and good liquidity maintained within Agility. So back to the right-hand side. If you can see the progression of the top line, let's start with that, from quarter 1 '18 through to quarter 4 '18. Those are the lighter-colored bars there. You can see the first half of the year. Heavy-Duty Truck was, there were lower sales in Heavy-Duty Truck, and this was because orders were waiting for the delayed Cummins 12-liter low-NOx engine, so low-emissions engine. Once that engine was launched and introduced into the market late quarter 2 '18, you can see the pickup in the heavy-duty truck volumes coming in Q3 and Q4. As we go into Q1 '19, we're holding that momentum. And as I said Refuse Truck, transit, across the board, Heavy-Duty Truck and medium duty and some of the new fuel technologies are all expanding. So very good momentum as we come out of Q1 '18 in Agility. I will end with the balance sheet then. This obviously has significantly changed from the acquisition from the end of last year. And if we start on the asset side to the left, you can see the effect of bringing in all the assets from Agility, including recognized intangibles. So that's increased from NOK 2 billion to NOK 3 billion. Our, naturally, our inventory and receivables working capital elements have expanded. Agility is same size as the old Hexagon, so you expect more or less double the expansion. And obviously, cash similarly has expanded. To the right-hand side, we look at the equity and liabilities. We've gone up from NOK 1.5 billion to NOK 2.1 billion in equity. That's the equity raise and the profits for the quarter. Interest-bearing debt has increased to NOK 1.1 billion. That's mainly then net the long-term financing of Agility. We introduce a new item. This is the right-of-use assets. So IFRS 16, you classify what was operating lease assets now onto the balance sheet. This is the liability that goes with that. That's NOK 302 million. Most of our liabilities are connected to very long-term leases on our properties, so that's the largest driver. Otherwise, the other long-term liabilities include more deferred tax liability assets. These are long term. And current liabilities have expanded in line with the acquisition. So we close with NOK1.1 billion in net interest-bearing debt and a 45% equity ratio, comfortable equity cushion, comfortable leverage and a very good platform for the rest of the year. On that note, I'll invite Jon Erik.
Jon Erik Engeset: Thank you, David. Good morning, everybody. So we continued to operate in a very friendly macro environment, with a lot of push now from authorities, especially in Europe and in then parts of the United States, targeting significant reductions in emissions. So while that has been on the agenda for quite a while regarding light-duty vehicles, we see now particularly an increased focus on the heavier-duty segments. And that is, of course, very interesting for Hexagon. We, while we are in all classes of vehicles, we may feel that we have a particular strength in those heavy segments. So the EU is targeting a 30% CO2 reduction from new trucks within 2030. And in order to get there, they're targeting that 50% of new trucks by 2025 shall be what they call low emissions. And that is why there is 0 emissions, which is fuel cell electric hydrogen and battery electric; or it is Biogas or CNG. And the latter 2 classes are very important for us. And we have several times discussed the real advantages of renewable natural gas, biogas, which in certain cases will be emission negative when it comes to CO2. And it's very interesting also to see that the European Union now confirms that they see CNG as an important energy in order to reach the objectives. And the combination of RNG and CNG, which from the gas molecule point of view are the same, is a very powerful way of achieving real reductions in CO2 emissions short term and also a major improvement in NOx and particulates. And also, in the United States RNG is very high on the agenda. And we just received statistics showing 32% natural gas fuel sold in USA in 2016 being renewable. Agility Fuel Solutions. We have in the room here today Mr. Seung Baik, who is the new President of Agility. And I have to say we are feeling very good about the decision to go from 50% to 100% from the beginning of this year. So we believe that Agility is excellently positioned. The main market remains North America, but we see an increasing range of opportunities in our geographies. And the business is pointing upwards in all segments. So we have a strong order backlog for Q2, and we also see promising opportunities for the rest of the year. Last -- not last week but the week before last, there was an exhibition in California, the ACT exhibition. It's an annual event and we were present there. And there was a lot of attention on battery electric, also fuel cell electric. And so we saw several heavy-duty players exhibiting new applications with both battery and fuel cell electric solutions. Toyota and Kenworth unveiled their new fuel cell electric truck, where we have supplied the systems. And they start with 10 prototype trucks, which UPS, a major operator in the U.S., will take three. And we see a very bold statement there from the executive VP of Toyota in his judgment over the fuel cell technology in order to achieve zero emissions in that area. What we have not discussed much in this forum previously is our entry into battery electric regarding heavier-duty applications. So we decided 16 months ago to invest in the development of our own packs, which you see displayed there at the bottom right corner. And we exhibited at the ACT exhibition late April. And it is the market's lightest and most compact pack for medium- and heavy-duty vehicles, and it has already been chosen by some prominent names in the trucking -- truck building industry. And we have discussed several times that we don't see the future being either fuel cell electric or battery electric. We see a combination. We see some applications also for the heavier-duty vehicles going battery, while as long as the batteries remain significantly heavy and, the fuel cell applications, when weight isn't a priority, then the fuel cell technology is more optimal. But also we will see, we believe, an increasing amount of hybrid solutions. So a fuel cell electric vehicle always requires, anyway, a battery. And if the battery technology comes down in weight, then we may see a mix also onboard each vehicle with a combination of fuel cell and battery electric power supply. So we already have significant interest for this technology, and we will continue to develop that in parallel with our other alternatives. And talking about heavy duty also when we talk about fuel cell and hydrogen. So we -- the market started with some of the light-duty players investing heavily into fuel cell technology. And the heavier the vehicle, the more sense it makes to consider that option instead of batteries. And that's also what is seen now in the market, that more and more of the best companies and the trucking companies look at fuel cell technology as an alternative. That said and as David also mentioned, we have been awarded the fourth development contract now, this time for Audi. And we'll see in the statement from the Audi CEO that they really want to develop this technology and put it very high on their agenda. We also see that there is a shift in the, let's say, center of activity to the Far East. China, they have particular challenges with emissions. They also have particular opportunities because they have a lot of hydrogen being produced as byproduct from their metals industry and from other industries. And the Chinese government has really developed now a road map for the implementation of fuel cell technology. And the government shocked to some extent the battery electric industry by announcing recently that they would remove the subsidies that have driven that development on the battery side. And at the same time, they're going to support actively the development of the fuel cell electric industry both in terms of infrastructure development and in terms of subsidies for the buyers of vehicles. So we see a very strong interest for fuel cell technology in China. We have previously discussed Korea, and therefore it makes sense now for Hexagon to look in that area and see how we can develop a strong position in such geographies. CNG Light-Duty Vehicles. So we experienced quite a setback last, in the second half of last year because of this worldwide harmonized light vehicle test procedure, WLTP, which delayed a lot of the OEMs in their programs to deliver new CNG vehicles to market, but the good news is that, that is behind us and we see the strong growth resuming. The order backlog is great for the rest of this year. We now have 18 available CNG models from the Volkswagen Group alone in the market, and therefore we have committed an investment of EUR 6 million in new capacity in our Kassel, Germany operation to meet that demand. On the LPG side we see a somewhat more challenging market this year than we have enjoyed in the last few years. And it is not decline in demand but is more of a flattish development. We see that, because of relatively weak LPG underlying sale of propane markets in 2018 and into 2019, some of our customers are holding back on CapEx. And on the other hand, we have quite a success now in Bangladesh with the successful rollout of composite cylinders in that market. We also had our first deliveries to 2 new markets, Gambia and Germany, in the quarter. And altogether we have a somewhat more, unfavorable product mix in this market compared with previous years, and we expect that to continue for the remainder of 2019. On Mobile Pipeline side we see a lot of new applications and continued number of project opportunities emerging. And a lot of attention is now drawn to the renewable natural gas. I will shortly show you a small video clip on that, but we also see now, after 2 years, very dry markets outside North America. We see that the pipeline funnel is starting to materialize into real projects also in other geographies. And Digital Wave, the recertification company that we acquired in the last quarter of last year, is also off to a very good start in 2019. As mentioned, renewable natural gas is a hot topic in several areas, and a lot of investment capital is going into developing this resource in the United States and in Europe. And I will show, now I'd like to spend a couple minutes of your time showing a small video clip from one of our customers delivering, or producing renewable natural gas. [Audio/Video Presentation] So in summary. A strong environmental push and currently very favorable economic conditions for our products and offerings. A softer European LPG market for 2019, while strong momentum in Agility. And the step change for our CNG LDV business is expected drive group results. And the continued dilutive EBITDA effect from Hydrogen as we invest in developing that opportunity. So then David, if you will come back on the stage. We are welcoming any questions you may have.
Unidentified Company Representative: Any questions from the audience today?
Q - Mikkel Nyholt: Mikkel Nyholt, Carnegie. Obviously a set of weak numbers today, comparing to consensus expectations and my own expectations, but listening to your presentation, of course, the outlook still is very, very favorable. And I think everyone here agrees that the five year case, five year-plus case, is very, very solid for Hexagon Composites, but the question is whether the growth towards the next five years will be linear or exponential. So what I would like to get some more flavor on is whether you are content about where you are today in the development versus last year or whether you would have liked to have seen this quarter even slightly higher. Of course, the answer is yes. You would have, of course, liked it higher, but whether you are happy about the development, that's what I'm asking. Sorry. A bit weakly phrased question there.
Jon Erik Engeset: So overall we are very pleased with where we stand. And we feel we have the necessary foundation now to execute on our growth ambitions. Obviously, there are -- especially in the LPG segment, we are not entirely satisfied with the development. We believe it is a temporary setback, but we would like to see numbers on the same level as we had last year, which we obviously are not showing, but apart from that, we feel that most of the business segments are developing strongly in the right direction. So we see a case for strong growth in the next five years. It will definitely not be linear. It will be step-wise. So we have seen that in the past and that's what we expect also going forward, but over time, there is so much momentum now in the businesses that we operate in. And still the share of the overall markets that we address, if you take in all the diesel technologies and other carbon-based technologies -- so we're still only serving a very, very minor proportion of those markets. And that's where we will see the growth generation coming from, and we will see this spreading to new geographies, as I touched on in my presentation.
Mikkel Nyholt: Secondly, you've mentioned earlier that your largest owner, Mitsui, has been a bit of a door opener into some of the serial contracts you have in Hydrogen. I was wondering whether -- how dependent would you be on Mitsui in order to capture some of the market potential that lies in front of you, particularly in China, for instance, when you cover, when you talk about how to position yourselves there?
Jon Erik Engeset: So dependency is -- I would rather focus on the opportunities of, that gives us. Of course, there are all these ways to come into markets, but we think that the distance will be shorter by cooperating so closely with Mitsui as we do. And they obviously have a very wide network of relations in almost all geographies, which will be very helpful for us going forward, also in that particular geography that you mentioned.
Mikkel Nyholt: Lastly, on the LPG segment. EBITDA of NOK 23 million, is that a level we should expect for the coming quarters as well? I'm not thinking margin but absolute figures. Or should we expect some more fluctuation in interim here?
Jon Erik Engeset: We, as you know, we don't give accurate forecasts on the profit levels, nor on the revenue levels, but we see some challenges in this year. And whether we will have resolved them already when we get into the autumn or whether it will take the year remains to be seen, but the underlying opportunity also for that segment remains unchanged. So we still have significant growth opportunities in opening new markets and converting new markets to composites. And obviously, we're working strategically to achieve that. So what is hitting us in 2019 is the somewhat softer underlying sentiment in the propane market, and that again is related to very high temperatures. So in those areas where people use LPG to heat their homes, there has been a, or weak markets in the autumn and winter of 2018, '19. And that, we believe, will be fluctuating also over time. So, and we also think that, when some of the customers are holding back on investment on new cylinders in '19, then eventually they will need to catch up with that underlying demand in future periods. So we're not concerned. It's a very healthy business. And if you look historically at it, we've had those swings in certain years, but underlying is a strong growth trend in that business.
David Bandele: Just I'll just make one further comment, Mikkel. As you pointed out, we're a high-growth group company business guys, but we're still delivering 13% EBITDA margin when we strip out Hydrogen. So we are doing quite well combining the 2 often competing areas, and that's because our, we have diverse business units. So having Agility come in, that's a very, a much more stable cash generator and profit generator on the uptake, but of course, there will be variability with some of the other divisions.
Unidentified Company Representative: Any other questions? I guess there are not any other questions. So there are not any questions on, from the web audience either.
Jon Erik Engeset: All right. So, thank you for being here with us this morning. Have a good rest of the day. Thank you.